Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Ralph Lauren Third Quarter Fiscal Year 2022 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn over the conference to our host, Ms. Corinna Van der Ghinst. Please go ahead.
Corinna Van der Ghinst: Good morning, and thank you for joining Ralph Lauren's Third Quarter Fiscal 2022 Conference Call. With me today are Patrice Louvet, the company's President and Chief Executive Officer; and Jane Nielsen, Chief Operating Officer and Chief Financial Officer. After prepared remarks, we will open up the call for your questions, which we ask that you limit to one per caller. During today's call, we will be making some forward-looking statements within the meaning of the federal securities laws including our financial outlook. Forward-looking statements are not guarantees, and our actual results may differ materially from those expressed or implied in the forward-looking statements. Our expectations contain many risks and uncertainties. Principal risks and uncertainties that could cause our results to differ materially from our current expectations are detailed in our SEC filings. To find disclosures and reconciliations of non-GAAP measures that we use when discussing our financial results, you should refer to this morning's earnings release and to our SEC filings that can be found on our Investor Relations website.  And now I'll turn the call over to Patrice.
Patrice Louvet: Thank you, Cory. Good morning, everyone, and thank you for joining today's call. We were pleased to report strong third quarter performance during the important holiday season. Our better-than-expected results across all 3 regions are a testament to the outstanding work our teams have done to fundamentally reposition our business, elevate our brand and pivot to offense, including in North America, where our turnaround is well underway. Our significant reset work is behind us. Our brand is strong, and our growth is supported by multiple levers, from geographic and channel expansion to recruiting new higher-value consumers and developing high potential product categories. While we expect these growth levers to be sustainable and deliver in the future, they are already driving profitable growth, with all of our regions reporting positive increases to last year and pre-pandemic levels. And we delivered this broad-based performance while many of our markets around the world are still managing through the impacts of COVID. Let me share a few highlights from the third quarter across the 5 strategic pillars that we outlined at the start of our Next Great Chapter plan. First, on our efforts to win over a new generation, consumers around the world are connecting more than ever to our brand positioning and product portfolio. Together with our multifaceted strategy for demand creation honed through the pandemic, we are engaging both new and existing consumers in exciting ways. This is particularly evident in our fiscal third quarter, where we shifted a significant portion of this year's investments to drive brand momentum across a diverse range of activities. From celebrity activations to the metaverse, we drove a significant increase in digital share of voice globally. These activations not only drove our strong top line outperformance in the quarter, but also helped recruit younger full-price consumers to the brand, particularly on our digital channels. New consumers on our digital sites grew 58% to LLY, including an increased penetration of next-generation under 35 and higher-value consumers. For the critical holiday period, our brand tracking data showed that our high-impact campaigns further increased consumer perceptions of Ralph Lauren as a key destination for gifting in all regions. Online search trends across our family of brands also grew strong double digits the last year, significantly outperforming peers in our largest markets in Q3. Some of the innovative holiday campaigns that drove brand heat and enabled consumers to engage with and shop our brand in new ways included: first, we expanded our leadership in the metaverse with our Ralph Lauren Winter Escape program on Roblox, where we recreated the world of Ralph Lauren with an immersive holiday theme user experience and exclusive digital apparel collection for purchase. Roblox is one of the top interactive digital platforms in the world, and particularly for Gen Z, with 47 million users. This follows last quarter's world of Ralph Lauren launch on another popular metaverse, ZEPETO, where we continue to gain traction with over 2.5 million visits to date and maintain the #1 rank among all brands on the platform. You may have seen our mobile pop-ups and synchronized drone shows in select cities this holiday, featuring hundreds of drones lighting up the night sky to celebrate the return of festive dressing and our customizable gifts. We also drove highly successful live streaming events during the quarter, including our brand elevating Singles' Day and FARFETCH holiday live streams. In China, we continue to leverage our work with key influencers, accompanying the launch of our first major fragrance in the market this fall, our collaboration with popular actor and singer, Xiao Zhan, sold 40,000 units of Ralph's Club fragrance in a 6-hour period in December. Looking to the fourth quarter, we will continue to drive this momentum with iconic brand moments in sports and culture, including our Spring '22 fashion show in New York, our sponsorship of Team USA in the Winter Olympics opening today and our second year sponsoring the Australian Open, all of which you will see amplified across our global digital campaigns. Moving to our second key initiative, energize core products and accelerate high potential underdeveloped categories. Ralph created the quintessential American luxury lifestyle brand more than 50 years ago. His vision is one that has always been about a world to aspire to rather than any single product, category or fashion cycle. While the Polo brand and elevated sportswear still sit at the heart of what we do, Ralph Lauren is one of the few brands in the marketplace with the authenticity, quality and credibility to deliver products ranging from fleece hoodies to evening gowns and from accessories to home. Our multi-category lifestyle proposition affords us the flexibility and competitive advantage to deliver for consumers whatever the backdrop. And this flexibility enables us to be agile as consumers shift their wardrobes to a new hybrid mix of elevated but comfortable casual styles, for example, mixing our women's cashmere joggers with our sophisticated Sawyer wool tuxedo jacket. Our fall holiday performance in Q3 is a great example of how Ralph and our design teams are effectively capturing this mix, which is translating into market share gains around the world. Let me share just a few of these highlights. Our Boston Common apparel collection introduced an expanded assortment of elevated heritage icons driving strong sales in our stores with our most aspirational consumers. Our holiday Cortina collection celebrated Alpine style in a sophisticated palette of blues and whites. We drove a strong return of our sweater business with an expanded offering of our iconic cashmere styles, along with the introduction of new modern active hybrid models. And we continue to drive outsized performance in outerwear, one of our high-potential categories, which has grown about 50% since the start of our Next Great Chapter strategy. Q3 outerwear sales were fueled by an expanded range of active insulated models, including our newest collection of RLX Performance for men as well as elevated shearling, wools,and cashmere for women. As we continue to drive brand heat and new consumer acquisition, special capsules this quarter included: Black on Black; our latest limited-edition Major League Baseball drop; our bold new U.S. Olympics capsule, inspiring a new generation with looks rooted in active and performance outerwear, fleece and mitts; and for our brand loyalist on the Polo app, our 7 Days, 7 Drops Polo bear skateboard decks with Gossip Girl star and skateboarder, Evan Mock, kicking off the event at our Prince Street store. Shifting gears to our third key initiative, drive targeted expansion in our regions and channels. We continued our long-term strategy of investing in our brand-elevating key city ecosystems around the world in the third quarter with 40 new stores and concessions opening in top cities globally. This included our first European flagship opening since 2010 in Milan with early performance beating our plans by double digits. The majority of our store openings were in Asia and particularly the Chinese Mainland, where our brand momentum remains very strong despite recurring COVID shutdowns. Our Mainland sales were still up more than 20% to last year and 65% to LLY in constant currency. The highly innovative emblematic concept stores we opened in Beijing and Shanghai earlier this year, continued to perform ahead of our expectations, lifting overall growth trends in their respective city ecosystems, and our Singles Day performance significantly outpaced the competition despite our less promotional approach. As we start to expand our successful key city ecosystem blueprint around the world, we were particularly excited to open 4 new full price stores in North America this quarter in Miami, Chicago, Atlanta and Detroit. This represents our highest number of full-price store openings in North America in 6 years and commences a new phase of retail growth in our home market following several years of repositioning. Having substantially reset the profitability of our full price fleet over the past year through enhanced category offerings, new ways of selling and operational discipline, we are moving forward with our plan to open about a dozen new margin-accretive full-price stores in North America over the next couple of years. Moving to our priority of leading with digital. Sales for our total Ralph Lauren digital ecosystem, including our directly operated sites, Departmentstore.com, pure players and social commerce, grew more than 40% in the third quarter in constant currency and more than 60% to LLY, ahead of our plan. Within our own sites, digital sales grew more than 30%. This was driven primarily by full-priced holiday selling as we deliver the right mix of product, pull back on promotions and invest in AI-powered targeting and new full-price consumer acquisition. We continue to scale and expand on the connected retail capabilities we launched during the pandemic from virtual selling appointments to buy online, pick up in store, to endless aisle product availability. We launched our first ever full catalog Ralph Lauren mobile shopping app in time for holiday, seamlessly leveraging our connected retail capabilities to deliver our most personalized and content-rich platform to date. Now touching on our work to operate with discipline to fuel growth. Our teams continue to operate with agility to mitigate macro headwinds, delivering better-than-expected gross and operating margins again in the third quarter. The global operating environment remains highly dynamic. Notably with COVID, supply chain and cost inflation still pressure points coming into calendar 2022. However, we remain confident in our ability to manage these headwinds, to deliver further growth and operating margin expansion through our proven pricing power as well as our culture of cost discipline. This discipline is helping us to fuel our strategic investments in long-term growth. And further, part of investing in our business also includes a commitment to investing in our people and innovation. A few recent highlights include the following: in December, the Ralph Lauren Corporate Foundation announced a $2 million donation in scholarships for students at historically Black colleges and universities. This is part of our broader commitment to invest directly in the future of Black students with enhanced access to education and advancing our recruitment and development programs for Black talent. We were also recently proud to achieve a score of 100% once again on the Human Rights Campaign Foundation's Corporate Equality Index and earned the designation as the best place to work for LGBTQ equality. On the sustainability front, just a few weeks ago, we were incredibly excited to launch our first product made with Clarus, a first-to-market patented technology that uses recycled cotton to create a high-performance fabric. Developed by natural fiber welding, which we announced an investment in last year, CLARUS has all the features we've come to expect from synthetic performance materials like comfort, breathability and moisture management while reducing our reliance on synthetics that use fossil fuels such as polyester and nylon. This is a critical step in scaling our use of recycled cotton and making progress on our target of sustainably sourcing 100% of our key materials, including cotton by 2025. This latest launch comes on the heels of our groundbreaking introduction last year of Color on Demand, the world's first scalable zero wastewater cotton dying system. And lastly, we announced an exciting new limited partnership with Franklin Venture Partners in Silicon Valley, focused on female-led businesses, the partnership backed disruptive technologies and consumer solutions with the potential to positively transform the fashion industry. Like our investment in natural fiber welding, this move underscores our long-standing commitments to innovation, sustainability and diversity, equity and inclusion. In closing, Ralph and I are incredibly proud of the performance our teams have delivered through the first 3 quarters of the fiscal year. All channels and geographies are showing strong momentum as we build on an increasingly healthy foundation, leveraging work that we started well before the pandemic, but accelerated through this time of challenge. Looking ahead, we are focused on driving sustainable growth supported by continued investments across digital, our brand building and more personalized demand creation as well as key markets and categories. We look forward to sharing more with you at our Investor Day this summer. With that, I'll turn it over to Jane to discuss our financial results, and I'll join her at the end to answer your questions.
Jane Nielsen: Thank you, Patrice, and good morning, everyone. Our third quarter results were very strong and well ahead of our expectations. Our growth was broad-based across multiple levers in our business and delivered improved operating margin and profit growth of 52%. Consumer response to our fall and holiday offerings was strong and our teams are navigating supply chain challenges with agility. Their passion and tireless work produced strong progress across each of our key strategic initiatives. We were particularly encouraged to report North America's pivot back to high-quality revenue and operating profit growth versus pre-pandemic levels, continued double-digit growth across Europe and Asia businesses and strong digital momentum, all while investing for growth and delivering both growth and operating margin expansion. We continue to generate strong cash flow and increased our cash returns to shareholders in the form of our dividend and share repurchases. Importantly, we achieved these results in the context of navigating a still uncertain macro environment. Total company revenues increased 27% to last year, with positive growth in every region, led by North America and Europe. Compared to third quarter fiscal '20 or LLY, revenues increased 4%. This 4% includes 7 points of negative impact from last year's strategic reset of our distribution and our Chaps business, which moved to a license model, implying low double-digit growth to LLY on an underlying basis. Strong and highly profitable growth continued in our digital ecosystems. Ralph Lauren digital ecosystem sales grew more than 40% in constant currency to last year and more than 60% to LLY. This includes more than 30% growth in our owned digital business reflecting our strong product assortments, new consumer acquisition, expanded connected retail capabilities and high-impact marketing. Digital margins remain strongly accretive to our third quarter profitability. Total company adjusted gross margin was 66% in the third quarter, up 60 basis points to last year on a reported basis and 90 basis points in constant currency, despite increased freight headwinds of approximately 150 basis points. Gross margins were better than expected despite lapping last year's unusual COVID mix benefits, driven by better pricing and promotions along with favorable product mix. Adjusted gross margins increased 380 basis points to LLY. Our brand elevation work continued with third quarter AUR up 18% on top of 19% growth last year, with increases across every region. Driven by favorable product mix and strong pricing power in the marketplace, we are confident in our ability to navigate this inflationary cycle. We expect to continue growing AUR above our long-term targets into fiscal '23 to mitigate mid- to high single-digit product cost inflation. Adjusted operating expenses increased 22% to 50.1% of sales, a 210 basis point decline to last year, but a 190 basis point increase to LLY on increased marketing investments. Marketing grew 78% to 8% of sales in the third quarter to support a number of initiatives around holiday, our digital expansion into new markets and categories and new consumer acquisition. As discussed last quarter, we shifted a significant portion of our marketing investments from the first half to the second half of the year to accelerate our brand momentum and direct-to-consumer expansion coming out of the pandemic. We expect a similar level of marketing dollar spend in the fourth quarter to support our Spring '22, Lunar New Year and digital campaigns, including our new Ralph Lauren mobile app and digital home shop. Other fourth quarter activations include Beijing Winter Olympics and the Australian Open as well as our continued focus on high-value new consumer acquisition. Based on increased confidence in our demand creation activities, we now expect marketing in the range of 7% to 7.5% of fiscal '22 sales. This year's elevated level of investment is supporting increased content creation, new consumer acquisition, our digital launches, new store openings and key brand moments coming out of the peak of the pandemic. Adjusted operating margin for the third quarter was 15.9%, up 260 basis points to last year and 190 basis points to LLY. This was above our guidance of 13% to 13.5% margin, driven by stronger gross margins and operating expense leverage on higher sales. Moving to segment performance, starting with North America. A very strong holiday selling season accelerated third quarter revenue to 30% growth to last year, with both wholesale and retail performing significantly above our expectations. This was driven by improved product assortments, new full-price consumers and market share gains. These strong results reinforce our confidence in North America as a driver of growth into the future. Compared to LLY, North America revenues increased 2%, a meaningful improvement from first half trends. These results included a 15-point headwind from our strategic distribution reset and Chaps, implying even stronger high-teens growth to pre-COVID levels on an underlying basis. While resets are expected to have an even larger impact on our reported North America revenues in Q4, we expect continued sequential improvement on an underlying basis to LLY. In North America retail, comps grew 38% to last year and 9% to LLY. Comps increased on improved traffic, conversion and 24% AUR growth, reflecting our continued elevation around product mix, marketing and more targeted pricing and promotions. Brick-and-mortar comps accelerated to 40%, driven by double-digit growth in AUR, basket sizes and traffic. We were particularly encouraged by improved trends in our factory stores, which have been disproportionately impacted by weaker traffic through the pandemic, including a lack of foreign tourist travel. While U.S. border restrictions were eased in early November, Q3 foreign tourist sales still declined 35% to pre-pandemic levels. We continue to monitor for potential impacts from Omicron and other variants closely. We drove further momentum in our own digital commerce business this quarter with comps up 32%, supported by strong full-priced holiday selling. Our continued focus on full price new consumer acquisition helped deliver larger basket sizes at significantly higher quality of sales on our site. In North America wholesale, revenues increased 11% to last year, including a 16-point negative impact from our deliberate resets and Chaps. Underlying growth and quality of sales continued to exceed our expectations for the quarter, led by our full price businesses. Total sellout was up 25% to LLY in the third quarter, led by continued market share gains in men's, kids, home and women's ready to wear in our key partners. Our brand elevation in this channel continued with wholesale AUR up more than 30% to LLY this fall as we elevated our assortments and pulled back on seasonal promotions. And our momentum on wholesale.com drove digital sell-out growth of more than 35% to last year and 50% to LLY. Inventories at our full-price North America department store partners remained very healthy and clean at the end of the quarter, declining more than 20% to LLY. Moving on to Europe. Third quarter revenue increased 47% on a reported basis and 50% in constant currency, above our expectations. On a LLY basis, revenue growth accelerated 6% with stronger performance in France and the U.K. more than offsetting COVID-related restrictions in Germany and the Netherlands near the end of the quarter. Europe comps increased 55%. Brick-and-mortar comps were up 68%, with double-digit increases across all markets. Digital commerce comps increased 27% on top of a challenging 68% last year when COVID-related closures shifted more business online. Europe wholesale exceeded our expectations again this quarter, driven by stronger sellout and reorder trends across wholesale brick-and-mortar and dot-com. We launched 30 campaigns with our top partners to deliver 500 million impressions over the quarter, including special holiday gifting experiences. Turning to Asia. Revenue increased 16% on a reported basis and 20% in constant currency. This quarter represents our highest ever revenue and operating profit for the region despite ongoing COVID impacts. Our Asia retail comps increased 14%, with 64% growth in digital commerce and 12% growth in brick-and-mortar stores. Performance exceeded our expectations going into the quarter, primarily due to strong recovery trends across every key market led by Japan and Korea. China Mainland sales remained robust despite government-mandated COVID controls in certain areas. Mainland sales grew 22% to last year, including 2 points of negative impact from COVID closures in the quarter and grew 65% to LLY. Our digital ecosystem momentum also continued in Asia this quarter with triple-digit growth to LLY. This was supported by key events like Singles' Day and our 12/12 activations, where our brands ranked #2 on both Tmall's Luxury Pavilion and JD luxury platform. Moving on to the balance sheet. We ended the quarter with $3 billion in cash and investments and $1.6 billion in total debt, which compares to $2.8 billion in cash and investments and $1.6 billion in total debt last year. Net inventory increased 7%, slightly below our plan due to ongoing global supply chain delays, which will shift some inventories into our fiscal Q4. While still highly dynamic, we are seeing some improvement on lead times and our inventories are well positioned to meet demand for the spring season, thanks to the agility of our teams and a flexible inventory allocation process. We now expect to end the fiscal year with inventories roughly in line with sales growth to support the upcoming Spring '22 season. Overall, we continue to manage our inventories closely to demand in both our direct-to-consumer and wholesale channels. Looking ahead, our outlook is based on our best assessment of the current macro environment, including global supply chain challenges, Omicron and other COVID-related disruptions. For the full year fiscal '22, we are again raising our top line outlook based on stronger-than-expected demand across geographies. We now expect revenues to grow in the range of 39% to 41% in constant currency, up from 34% to 36% previously, all on a 53-week basis. Foreign currency is expected to negatively impact revenues by about 70 basis points. We are also raising our operating margin outlook to approximately 13% on both a reported and constant currency basis, up from 12% to 12.5% previously, reflecting our stronger performance through the first 3 quarters of the year. Compared to fiscal '20, or LLY, our updated outlook now implies we are on track to end this year with full year revenues roughly in line with pre-pandemic levels, despite about 10 points of headwind from our strategic reset, operating margin more than 250 basis points higher and profit dollars expanding by more than $175 million as we grow off a healthier and more profitable base. For the fourth quarter, we expect constant currency revenues to increase about 17% to 18%. Foreign currency is expected to negatively impact revenues by about 400 basis points. We expect gross margin expansion of about 160 to 180 basis points in constant currency, or 50 to 70 basis points on a reported basis. Continued growth in AUR should more than offset increased freight and material costs. We expect fourth quarter operating margin to expand approximately 80 basis points to 4.2% in constant currency with continued gross margin expansion more than offsetting increased marketing investments to fuel future growth. Foreign currency is expected to negatively impact operating margin by approximately 120 basis points. We expect fourth quarter and full year tax rate around 21% to 22%. Lastly, our capital allocation priorities remain largely unchanged, with a focus on reinvesting behind our key strategic initiatives and returning excess free cash flow to shareholders in the form of dividends and share repurchases. We completed $300 million in share buybacks in the third quarter with approximately $280 million remaining on our current authorization, plus an additional $1.5 billion repurchase plan recently approved by our Board. In closing, our teams around the world are operating with agility and passion to drive brand desirability and deliver growth across multiple levers, all while navigating a still volatile global environment. Our strong year-to-date performance underscores the timelessness of Ralph's creative vision, our strengthening consumer base and the power of our brand. We are playing offense to leverage our momentum and invest in the key strategic initiatives to support our long-term growth and value creation. With that, let's open up the call for your questions.
Operator: [Operator Instructions] The first question comes from Michael Binetti with Credit Suisse.
Michael Binetti: Thanks a lot for all the detail. You gave us a lot to choose from here, a lot of areas we're repositioning look like they're lifting off all at once. Maybe I'll start there. There's been a lot of moving parts over the last 2 years through COVID and through the strategic resets. As you guys enter calendar '22 here, maybe you could talk to us a little bit about how you see Ralph Lauren positioned for the future and where you see the biggest differences in the go-forward strategy? And then, Jane, here we are with the new guidance, we're at mid-teens EBIT margins for the year. That's in line with your long-term guidance. So I guess the question there is, what's next? How should we think about EBIT margins as we think about calendar '22, given all the acute costs the industry is experiencing right now, which arguably some of them will be tertiary, but -- or transitory? But maybe your longer-term thinking on margins, but also I'm really focused on '22, how you see the margin profile rolling forward, given what you just delivered in the quarter.
Patrice Louvet: Sounds good, Michael. Listen, on the first part of your question, I would outline a few things. First, we have fundamentally repositioned our business over the past couple of years. And this is clearly visible through the performance, not just this quarter, as you highlighted, but also over the prior quarters. And clearly, as Jane closed in her opening remarks, the company is back on offense. And so based on that, I have a lot of confidence in our ability to comp this year's outsized recovery growth and deliver sustainable growth ahead. Here's why, our company is fundamentally healthier than it was 2 years ago. If you look at the different elements, the brand is elevated, it's strong, it's desirable around the world. We're bringing in a younger, higher value consumer, less price-sensitive consumer. And our growth is broad-based: geographies, channels and brands. So looking to the future, we clearly have multiple engines for growth that are delivering both now, and we are confident are sustainable for the mid to long term. And there are really 3 that I would call out. First of all, on the product front, our unique lifestyle positioning means we can drive our core, while also continuing to scale high-potential underdeveloped categories like home, outerwear and others. The second one is on the channel front, right? I think as you've seen through the performance this past quarter and in prior quarters, our digital business is strong, broad-based, whether that's our own digital or pure players or bricks and clicks. We've got a compelling blueprint for retail growth, and I'm particularly energized by the fact that we're now opening stores in the U.S., which we haven't done in almost a decade. And then the third area is our wholesale is now rightsized. It's on a healthy foundation. And if you look at the way the consumer is voting, looking at market share, we're growing share across our core categories, again this past quarter. So lots of opportunities from a channel standpoint. And then finally, from a geographical standpoint, you know we take a key city lens to the world and we look at our top 30 cities around the world, and we see growth opportunities across all the key markets, notably in North America. Now we're obviously not immune to macro challenges, but I hope you all see that we've built a business and a supply chain that are both strong and resilient, and we have demonstrated pricing power as we've been elevating AUR consistent with our brand elevation work for several years now. And you saw that again in this past quarter. So the short answer, Michael, to your question, is that we're optimistic about the future, we have multiple levers to fuel our growth, not just over the next year but well beyond that. And now Jane will get -- give us perspective on our margin.
Jane Nielsen: All right. So Michael, just as you called out, our third quarter is very encouraging to us from the margin expansion that we were able to achieve. And of course, it gives us confidence as we move into our next fiscal year. We're not guiding specifically. But I can tell you right now, we still feel that our mid-teens OI margin is the right long-term target for us. What I think you've seen us deliver is sequential progress along that growth, that's our mindset right now. And we are very clear-eyed about the challenges going into next year. I think we've stated that we still expect gross margin expansion to be a driver for us into next year, and our increased revenue growth is going to leverage SG&A to help us deliver EBIT margin expansion as we move into the long term. We'll have much more for you as we come out of the fourth quarter. We're planning an Investor Day to provide even more perspective, but that's the way we're thinking about it now.
Operator: The next question comes from Beth Reed with Truist Securities.
Beth Reed : Can you give us some more color on what drove the gross margin outperformance in the third quarter? And then also, what gives you confidence in your ability to drive further gross margin expansion, I guess, just beyond this year, given increased cost headwinds? And then relatedly, with AUR trends year-to-date running well ahead of your raised high single-digit outlook, just curious where you're seeing the most upside versus your expectations. Are there certain categories or channels or regions that you'd call out?
Jane Nielsen: Of course. As I said, we were very pleased with our Q3 performance, and we're pleased that we've been able to raise our gross margin outlook again this quarter all in the context of comping last year's outsized gross margin gains that were primarily channel mix-driven, offsetting this year's supply chain and logistics pressures, and we're able to raise gross margin while still gaining momentum across all of our regions even on a pre-pandemic basis. So very encouraged. This holiday specifically, what drove our outsized performance was really our consumers, which shopped early and shopped at full price. So we got ahead of the curve on the holiday, and we maintained that momentum through the holiday without pulling significant promotional levers. We were much less promotional this year than we were last year. I think that's based on the desirability of our brand. We're seeing that in the consumer scores that Patrice mentioned and very strong reaction to our products. So very encouraging there. As we think about the long term, we really have multiple tailwinds to leverage. And again, given our view of the upcoming inflationary cycle, we feel well positioned to leverage them. First of all, there's the increasing desirability of our brand. Second, there's the new full-price consumer acquisitions that we're doing: bigger basket sizes, higher AUR purchasing. We also have some, I'd say, long-proven pricing capabilities across multiple levers. We don't just take a like-for-like pricing increase across the board. We really look at the competitive environment. We balance that with promotion, driving into personalization. All of those tools, we'll be leveraging into next year. Our product elevation and category migration is working and enhancing both our AUR and our gross margin, and we have favorable geographic and channel mix on our side. Now on the headwind side, we've been very clear that the magnitude of gross margin expansion in fiscal '23 will be tempered by cost inflation, especially raw materials costs, which we called out early last quarter, and we expect to be with us through the spring of '23. But this modest gross margin expansion combined with SG&A leverage is really what allows us to reiterate what I just said to Michael, which is we still believe our mid-teens guidance is the right guidance and sequentially improve. And finally, I can't talk about my confidence in gross margin without really calling out the agility and capability and passion of our teams. They've done a magnificent job managing through some challenging environments, and we know they're committed to doing that in the future.
Patrice Louvet: And Beth, to give some color on specific categories or channels or geographies where we've seen different AUR growth, the one thing I would highlight -- because it was actually pretty broad-based and you saw, right, plus 18% on top of plus 19% last year total company, pretty broad-based. But the thing we're clearly delivering on is the acceleration in North America, right? And our AUR growth rate progression is actually the fastest of all the regions. And we now have all the engines of AUR growth by channel motoring ahead, particularly wholesale, right? And I really appreciate the partnership we have with our key wholesale players here in North America because I think we're fully aligned on how we want to approach promotional strategy, pricing and product elevation as part of our overall proposition. We saw very strong AUR growth in wholesale. We saw very strong AUR growth on our digital business as well as across our brick-and-mortar presence. So this is the one that started latest of all 3 regions, right? Really, the journey started first in Asia, then in Europe and now in North America. We're still very early innings, particularly in wholesale. So as we look at it through that lens, we think there are many, many more quarters to come in our ability to drive AUR. Maybe not at the pace we've delivered this year, but certainly consistent AUR growth moving forward.
Operator: The next question comes from Laurent Vasilescu with BNP Paribas Exane.
Laurent Vasilescu: Jane, I think you said that the reset was about a 700 basis point impact to 3Q North America. And I think you mentioned that it may have a bigger impact in 4Q. Just want to be sure if you can quantify. And then I think, Patrice, on this note, I think you said in your prepared remarks, great to hear that the reset is significantly behind you. Just curious to know, is there any more left to consider when we think about the year out and your Investor Day?
Jane Nielsen: Yes. Laurent, let me take the first part of your question. Yes, it was 700 basis points to full company and obviously much more significant to North America, and about 15 basis points -- 15-point impact in North America. As we move forward, when you think about the resets, we'll anniversary the department store exits this year along with the daigou reset as we come out of the fourth quarter. There will still be some pressure, notably in wholesale, because of our Chaps conversion to a licensed model. And that pressure point will be notable in North America in the fourth quarter. So it's important to look at those resets. The fourth quarter is meaningful. And then, of course, we lap out as a total company of Club Monaco as of June. But you're right to keep a look out, especially in North America on that reset impact in the fourth quarter.
Patrice Louvet: And Laurent, just to double down on the North America number. Therefore, I think from a LLY standpoint, North America was up something like 16% or 17% like-for-like, right? Which that’s – hopefully, you feel the enthusiasm and the confidence we have in our trajectory in North America because the numbers are clearly playing that out. Beyond the things that Jane mentioned in terms of reset, Laurent, I think we are complete. So we will continuously challenge every location in which the brand is sold. But that’s part of our ongoing model as we continue to make sure that’s kind of showing up in the right place and is obviously delivering attractive returns. But the heavy lifting from a brand portfolio standpoint, from a door closure standpoint, from a pullback on daigou online and a major pullback relative to promotional activity, that will be behind us as we close out this fiscal year.
Operator: The next question comes from Matthew Boss with JPMorgan.
Matthew Boss: Congrats on a nice quarter. So 2-part question. Patrice, can you elaborate on the hybrid wardrobing behavior that you cited, and just changes that you've made to position the brand for this backdrop? And then, Jane, if we think about your low to mid-single-digit top line growth algorithm before the pandemic, I guess maybe what's your confidence today potentially exiting the pandemic as we think about growth drivers in North America, Europe and Asia, maybe relative to those drivers as we saw a couple of years ago before the crisis?
Patrice Louvet: Sure. So listen, on product, the first thing I would call out is that our lifestyle positioning, the breadth of our offering really puts us in a strong competitive position to flex with consumer needs and their wardrobe evolution. And I think that's a real differentiating point for our company relative to many peers in this industry. The second thing I would call out is the fact that we've seen a new product apparel cycle start in the spring -- and I think we talked about this together last time, and accelerate in the fall. And what's exciting about it, I think it's still very early innings with many tailwinds ahead because the consumer hasn't really fully returned to work and certainly hasn't fully returned to more regular external activities. So what we're seeing on the hybrid approach by consumers is, on the one hand, a replenishment of their core wardrobe, and on the other hand a gravitation towards newness and sophistication. Let me peel the onion a little bit on that to give you a specific product category examples. So replenishing core elements of the wardrobe, those are things like denim, sweaters, those types of products. On the pivoting towards newness and sophistication, there are 2 things I would call out. One is the elevation of casual looks, right? And this is clearly driving newness in our assortment. To give you a specific set of examples, cashmere hoodies, novelty and matching fleece, for example. And then the other element to call out here is items to wear outside of the house, right? Items to wear outside of the house during the day. So we're seeing a significant pickup in our sports coats, we're seeing significant pick up in our outerwear. And then elements to wear in the evening as people go out. Now that's a smaller part of our business, but it has an important halo effect overall. So those are evening gowns and tuxedos. We, based on where the consumer is and where the consumer is going, are uniquely positioned to serve this hybrid need and expectation. And as I mentioned a couple of minutes ago, we expect this to continue, and I think this will be actually a really nice tailwind based on how we are positioned.
Jane Nielsen: Great. Matt, just to answer the second part of your question, on what's changed since our last Investor Day when we had a low- to mid-single-digit growth algorithm. I would say the biggest change is that our business is now on a healthier base from which to grow. So at that time, we still had daigou that we had to address. We weren't to where we wanted to be strategically in off-price. We knew we had some wholesale cleanup to do, and that work is done. We also were very nascent in our pricing journey. So what's different today is that we have proven our pricing capabilities across all 3 regions. At the time, we had Asia that we had a good proof case in, Europe was sort of early innings on that journey and North America was still to come. We now have confidence across our regions. And I think that, that underscores what's different as we think about the future, that North America is now positioned for growth. That's probably -- that's the biggest driver. And it's all -- you can always go stronger and faster with a [3-piston] engine.
Operator: The next question comes from Erinn Murphy with Piper Sandler.
Erinn Murphy: Great. Congrats on the momentum in the business. My question is for Jane on North America. I'm curious at what point you would expect to see unit growth again. And then if I can just follow up with Patrice on China. It definitely felt that, that region has been a positive outlier for you versus many other peers, particularly this earnings season. So curious if you could talk a little bit more about what you're seeing on the ground and just what that interplay is between physical traffic versus digital?
Jane Nielsen: Yes, Erinn, thanks for the question. Taking a step back, we really expect our growth to come from AUR growth, as you noted, unit growth in targeted high-value areas. Over the past several years, we've been on a journey to restructure our business and really move away from low value, low AUR units and transition into higher value, higher AUR units. So our exiting of the lower wholesale doors, our licensing of Chaps, we really transitioned those units and are moving into units, like the elevated product assortments: sweaters, outerwear, sneakers, accessories, those denim, those higher-priced AUR units are where we are focused. As we look at North America, we're going to continue that journey. But we do see that we're growing units in our digital business. I think on our reset days, we'll be growing in -- we'll start to see some growth in the future in our wholesale business, especially as we've gained share, and we've had a couple of quarters of share gain in men's, kid's and women's, home and women's ready-to-wear. And we're very encouraged by the comp trends that we are seeing in our stores. And so we're confident about the future, but we're also confident in our strategy about growing units in high-value areas.
Patrice Louvet: Erinn, so on China specifically, we've been really pleased with our continued performance in China. And as you know, this hasn't been just 1 quarter. We've been able to do this on a sustained basis. But including this past quarter, just as a refresher, up 22% versus LY, up 65% versus LLY despite Omicron disruption, right, which I think we're all in touch with. And I have to say the team on the ground is doing an awesome job navigating the volatility of Omicron in continuing to drive the brand. So we clearly see China both as a near-term opportunity and a long-term opportunity. From a brand perception standpoint, we track our brand equity on a monthly basis, and we see the brand continue to strengthen in that market, particularly with the younger population and nicely balanced from a gender standpoint, men's and women's. As we look at our business, digital versus physical, to your specific question, we really approach things through this key city ecosystem omnichannel lens, right? Shenzhen, Chengdu, Shanghai, Beijing is really where we're putting a lot of our emphasis. And we're building the ecosystem that has a strong digital wrapper, both RalphLauren.com, which we launched not that long ago and doing particularly well, and our key partners, Tmall, JD, WeChat as well, combined with the flagship presence that really projects brand image, as we've just done with the openings in Shanghai, in Beijing. And you heard in our prepared remarks, they're off to a really strong start across the board. So we've been really pleased with that. And then we are continuing to expand our store footprint beyond these flagships with these flexible Polo formats that are really performing quite well for us. So we're working hard to make sure all this is connected so that the consumer is at the center of it, it doesn't really matter whether it's digital or brick-and-mortar because fundamentally, what we want is to make sure we give that consumer an amazing experience. And we know he and she goes back and forth between these different channels. But I think we're really well positioned, and we have a very deliberate strategic approach to driving our expansion in that market. What I particularly like as well, and we've been talking a lot of AUR since the beginning of this call, is the elevation of the brand and the brand desirability in that market. And if you look at the data, China is probably one of those markets where the brand perception is the highest. So one, that gives us a lot of confidence in the near and long term for us to win in that market, particularly because the team has done a nice job weaving the brand into the local fabric of the culture. And two, there are a lot of learnings that we pick up from China that we replicate outside. And what -- some of the things you've seen recently relative to North America has actually been inspired by our success in the Chinese market. So just to wrap, it's -- China is still small for us, which I view is good news, because that means a significant upside, right? Still, total China business is about mid-single digits for the company. When you look at some of our peers and the Chinese penetration of their business relative to ours, that gives us still a great deal of runway. And I think we're nicely positioned despite some of the volatility that we're seeing.
Corinna Van der Ghinst: Let’s go to the last question, please, Angela.
Operator: Our final question comes from Paul Lejuez with Citigroup.
Paul Lejuez: You guys have talked about bringing more new customers to the brand several occasions. I'm kind of curious what those customers are buying? How are you hooking them into the brand? And I'm also curious what that younger customer wants from the brand, how that might be different from your older customer and how that might differ by geography.
Patrice Louvet: Sure. Yes, we've been excited about the progress we've made in terms of bringing new customers, younger customers, higher basket size customers, less price-sensitive customers to the brand and also more balance between men and women. Paul, the headline thought is they actually buy a lineup that's pretty consistent with our historical customers. Probably the areas of differentiation are in sneakers, you would expect that, are in outerwear. We have the Polo Sport brand that we've relaunched and repositioned that is really getting fantastic traction with that younger customer. And they're obviously resonating really nicely with some of our innovation and product drops. You heard us give a few examples on some of what we're doing there. So I would say pretty consistent with some areas of strength, particularly tying actually to those high potential underdeveloped categories that we have recently been putting disproportionate emphasis on. All right. Well, listen, thanks to everyone for joining our call today. We look forward to sharing our full year and fourth quarter fiscal '22 results with you in late May, and then we'll have our Investor Day after that where we can provide you with perspective from a longer-term standpoint. Thank you for calling in. Stay safe, and have a great day.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation. You may now disconnect.